Operator: Good day and welcome to the Vivendi's First Half 2016 Revenues and Earnings Presentation. Today's conference is being recorded. At this time, I would like to turn the conference over to Laurent Mairot, EVP, Head of Investor Relations. Please go ahead, sir.
Laurent Mairot: Good evening, ladies and gentlemen. Welcome and thank you for joining us for Vivendi's first half 2016 earnings. Your hosts for today's call are Arnaud de Puyfontaine, Chairman of the Management Board, and Chief Executive Officer; and Herve Philippe, Member of the Management Board and Chief Financial Officer. This presentation will be in English. This call is webcast on vivendi.com, where presentation slides are available. I encourage you to read the important legal disclaimer at the end of this presentation on page 40. The first half 2016 financial report will be available on our website after the end of the call. On our website, you also find a replay of this call that will remain available for 15 days. As usual, we will leave time for a Q&A session at the end of the presentation. And now, I have the pleasure to introduce our Chairman of the Management Board and Chief Executive Officer, Arnaud de Puyfontaine.
Arnaud de Puyfontaine: Thank you, Laurent. Welcome everyone and thank you for joining us today. I hope you enjoyed the Olympic Games during summer-time. Vivendi was present in Rio with Canal+, which covered the event and scored its best viewing figures ever in August. Furthermore, two athletes employed by the Group, Élodie Clouvel from Canal+ and Clément Mignon from Digitick represented France in Modern Pentathlon and Swimming. They both won silver medals. So, congratulations to both of them. Let's now turn from sports to finance. Herve Philippe will go through the figures in a few minutes. I can already tell you that Vivendi has delivered half year 2016 earnings in line with forecasts. A lot happened at Vivendi since we last talked. I would like to first review some of the key highlights of H1. The acceleration of the transition to streaming in the music industry and the great opportunities it opens up for Universal Music Group. Then several investments in mobile dedicated content, which are part of our strategy to become a leading content and media group through agile and innovative initiatives. In TV, the good performance delivered by our international operations and the transformation plan we are implementing in France; and finally, an update on Italy. So, let's start with music. We have witnessed in the past few months is the confirmation of a profound transformation within the recorded music industry. As you know, we have been moving from physical to download, then streaming, based in particular on subscription. For the first time since 1990s, the global music market bounced back in 2015, up 3.2%, driven by streaming, which is the fastest growing revenue source. In 2015, streaming revenues increased by 45% and accounted for 43% of total digital sales. I would like to emphasize the rapid development of subscription services, which were chosen by 68 million subscribers worldwide in 2015 compared to 41 million in 2014. 30% of Spotify's 100 million customers have already switched to subscription streaming. Apple Music, launched last year, now has 13 million paying subscribers. As you can see on the map on the slide, this transformation of music positively affects all markets, both mature and emerging. On almost all territories, digital solutions now available to consumers offer very attractive opportunities. Keeping in mind 75% of our revenues were achieved in just five countries in 2015 and just 3% in BRIC countries, we are pretty optimistic about UMG's developments for the coming years. UMG has already shown its capacity to generate substantial revenues from streaming and subscription based streaming more specifically. For the first half of 2016, UMG's streaming and subscription revenue increased by 62%, which more than offset the decline in both digital download and physical sales. For the first half of 2016, they accounted for around two-thirds of UMG's digital revenues and for more than one-third of UMG's total revenues. In addition, streaming allows UMG to move into new markets, particularly in fast-growing markets where a sustainable business model is emerging after years of piracy. In China, UMG is benefiting from a more favorable landscape in copyright protection. Content is now available on local legal platforms. In Russia, UMG recently signed an agreement with Mail.Ru Group to license its contents for use on Mail.Ru online platforms. To take advantage of these opportunities, UMG is continuously investing in A&R, artists and repertoire. For the first half of 2016, the figures speak for themselves. Just in the U.S., UMG had four of the top five most streamed albums, including all of the top three; Drake, Rihanna, and Justin Bieber. I'm not going to quote the Beatles this time, but I would like to tell you that last week, Paul McCartney signed an historic worldwide recording agreement with UMG's Capital Records, where he began his career. UMG possesses a unique know-how in discovering and managing artists. It will be pursuing its industry-leading track record of talent, development, and break global stars as well as local artists. Beyond music, all creative industry are facing a radical change in the way people entertain themselves at home, on-the-move, live, on-demand, on one or several devices. One trend is particularly striking. Cultural creative content is increasingly been consumed on smartphones, the number of which is expected to rise from 2.6 billion today to 6 billion by 2020. This growth in mobile devices has the effect of cutting viewing times, 85% of videos consumed today are already less than six minutes long. Vivendi wants to develop innovative formats that can meet the needs of a new generation of digital consumers. The recent acquisition of Gameloft fits into this strategy. Last June, Vivendi successfully completed its public tender offer for the shares of Gameloft, one of the most creative and dynamic companies in mobile games worldwide. As you probably know, videogames are today one of the most attractive segments in the media industry, with total revenue estimated at $100 billion. Mobile gaming already accounts for 37% of the videogames industry and is expected to grow rapidly in the coming years. So, it makes complete sense for Vivendi to gain a foothold in a market with strong potential, complementing its existing businesses. Mobile games content embraces a new type of consumption usages, short sessions on mobile with worldwide appeal. As you can see on the map, APAC is now the largest market for gaming and the Chinese market is as big as the U.S., maybe it will be the same for music one day. The Gameloft acquisition reinforces Vivendi strategy to be the world-class player in media and content, with a strong presence in the fast-growing market of mobile consumptions. In return, Gameloft with Vivendi's backing can reach new growth milestones and develop innovative projects over the long-term. I would like to stress that what has made Gameloft's success, i.e. talent and creativity, will be preserved and fostered. We have had a good start. With a strong portfolio of 160 games, including in-house franchises which represent two-thirds of its revenues, a massive audience of 148 million monthly active users, a mixed business model based on in-app purchase and ad revenue, and a worldwide presence through 20 studios, Gameloft is already a well-respected name in the mobile gaming industry and it as has the potential to go much further with Vivendi. Since June, we have taken different measures to ensure the smooth integration in the Gameloft teams within the Group welcome to them and to implement a development plan that makes full use of Gameloft's and Vivendi's joint creative forces. The upcoming launch of Studio+ is another illustration of our innovative and agile approach to graft new opportunities in media. And build at [Indiscernible] last April, Studio+, the first global offering of premium service for mobile screen will be launched in the next few weeks in partnership with several telco operators. With Studio+, Vivendi has decided to respond to the explosion of the -- in the consumption of short formats by mobile generation and to the scarcity of quality script content offered in that format. What's new about Studio+? Within a single app, it offers exclusive premium series, created specifically for smartphones and tablets, mobile phones first, mobile-only, in particular through innovative, short, and gripping format, 10 episodes of 10 minutes for each series. Some 25 original premium series, covering every genre; action, romance, thriller, shot in six languages and in 18 countries have been produced or are in post-production with about 60 series currently in development. The objective is to create series with strong local character that can attract a worldwide audience. Studio+ already has attracted interest from big telco players like Telefonica and Telecom Italia. In parallel to mobile dedicated content, Vivendi continues to develop more traditional content format. Content we create and produce by ourselves, especially in TV and cinema, while keeping equity in IP. Our objective is to produce our own original content and to less depend on third-party providers. This is the reason why we continue to invest in IP and original programming. For the season 2016-2017, Canal+ Group will propose seven new Création Originale, including the series The Young Pope, coproduced with HBO and Sky, starring Jude Law and Diane Keaton. In July, D8, to be renamed C8 September the 5th, created and launched a new TV concept program called Guess My Age, which has had a very good audience share. In June, StudioCanal acquired the very famous Paddington Bear franchise worldwide. A second Paddington Bear film is currently in production and should be released late 2017. Our investment in IP and original programming are complementary to our investment in several production companies. Over the last few months, we have acquired minority stakes in Banijay Group, and more recently, in Urban Myth Films, Sunnymarch TV, confounded by Benedict Cumberbatch, and Bambu Producciones in Spain. In our two-fold approach, content distribution is also a key component to maximize value. Vivendi has strengthened its presence in TV distribution, especially outside France. For the first time, at the end of June 2016, the number of international individual Canal+ Group subscribers was higher than the number in Mainland France; 5.727 million versus 5.455 million. It can no longer be said that Canal+ Group is just a French company. For the first half of 2016, international pay-TV revenues increased thanks to the growth in the individual subscriber base, notably in Africa, where Canal+ Group has had 2.2 million subscribers at end June 2016, 615,000 more than at the end of June 2015. In Africa, other initiatives have been launched to reinforce Vivendi's presence and reach a wider audience. At the beginning of 2016, Canal+ Group combined with iROKO, the African leading distributors of offline content, to launch the first mobile SVOD service in French-speaking Africa. By the end of the year, Canal+ Group will deploy a DTT offer called EasyTV in Brazzaville, Congo Republic, and Kinshasa, Congo Democratic Republic. The other view of our international TV distribution landscape would not be complete without mentioning the Mediaset situation in Italy. In early 2016, the Vivendi and Mediaset Groups wished to enter into a development agreement. Vivendi's purchase of Mediaset Premium, a subsidiary of Mediaset, was based on financial assumptions provided by Mediaset to Vivendi in March 2016. Vivendi raised a question about these assumptions and informed Mediaset. The agreement signed on April 8th was subsequently subjected to a due diligence review carried out by the audit firm, Deloitte, as agreed contractually. It became clear from this audit and Vivendi's analysis that the figures provided prior to signing were not realistic and were founded on an artificially inflated base. This led the two parties to try to renegotiate the terms of the agreement in June. While they continued discussing with Vivendi, Mediaset and Fininvest suddenly proceeded to launch media attacks detrimental to Vivendi's interest and image. In addition, although Vivendi timely completed the pre-notification process of the transaction with the European Commission, the Commission would not accept for a formal filing while the parties were discussing their differences. And in any event, it is possible that the Commission's clearance might not be obtained before September 30th, on which date the contract would become void. In respect of the lawsuit filed by Mediaset, according to the documents informally viewed to-date, the first procedural hearing would not be held before February 27th, 2017. In France now, we announced the launch of a transformation plan for the Canal+ channels at the beginning of the year, with a clear ambition to restore value proposition by clarifying our TV offer between pay and free TV. Its implementation is totally right on track. The new Canal galaxy, unveiled in June, is a set of one premium and three free-to-air national channels with complementary models and clear editorial lines organized around a common denominator, the Canal brand. For the first time in the Group's history, the Canal channels are operating under a single and coherent brand, a symbol of their being members of the same family. Our first objective is to play place subscribers back at the center of our strategy by investing in what comes for them; exclusive content and best-of-breed user experience. As a result, Canal+ subscribers will be able to enjoy 150 hours of additional exclusive content from early September, with more sports, more cinemas, more Création Originale, more culture, and more entertainment. This also means that the free-to-air window on Canal+ will be reduced for a maximum of six hours a day to two. In return, the three free-to-air channel; D8, D17, and iTele; to be renamed C8, CStar early September, and CNews in October will be enriched and strengthened. They will become the free window of the Canal universe. Our objective is to increase our audience beyond the strong performance already achieved, D8 as the leading DTT channel, for example. Restoring value proposition for subscribers also means better customer experience. We have developed a very powerful OTT app called myCanal, which gives access to the channels to VoD to recommendations. We also set up a loyalty program, [Indiscernible], which offers subscribers the opportunity to participate in exclusive events of different kinds. Development on visibility also mean partnerships with telco operators. This is the reason why Canal+ Group established a partnership with Orange in July to launch a joint sale offer by the end of the year. It is a package consisting on Orange fiber broadband and selection of Canal+ Canalsat channels. In addition, new offers could be announced later this year to better address consumer needs and behaviors. Last but not least, as you know, the French Antitrust Authority did not authorize exclusive distribution of beIN Sports channels within the Canal+ Group offers. We regret that decision, but this agreement was just one element in the Canal+ transformation plan, which as I mentioned aims to offer Canal+ subscribers more exclusive content and a better customer experience. We have nevertheless signed a non-exclusive distribution agreement with beIN Sport and we can propose very rich offers to our customers, such as the sports package, including beIN Sport and Eurosport. As part of this transformation plan, we have also implemented a roadmap at Canal+ in France to optimize costs by €300 million. All cost lines have been reviewed with our subscribers' interests in mind. How do more and better with less? Let me give you an example. The Olympic Games in Rio were covered by the Canal+ channel with two-thirds of our editorial teams staying in Paris. The Rio coverage was a complete success and the audience increased by 50% compared to an August average. We can't go through all the details of all work streams, but they can be sorted into three categories with the following outcomes. A €100 million reduction in distributed -- in distribution-related costs; marketing, set-top box management; a €50 million reduction in technical and broadcasting related cost; and a €150 million decrease in production and publishing programming costs. The full effect of this plan will be seen in 2018, with savings of about €60 million to €80 million expected to be achieved already this year. Because the subscriber is at the heart of our strategy, the plan impacts in no way the customer experience. You know that our partnership with telco operators, especially Telecom Italia, are an important point of our strategy to ensure the whole distribution of our content. Our 24.7 share in Telecom Italia allows us to gain a strong foothold in a market in which we share the same Latin culture and an access to growth opportunities in Southern Europe. Telecom Italia's new management team is now led by Flavio Cattaneo, appointed by the Board in March 2016. Let's take this opportunity to thank Giuseppe Recchi for his contribution and commitment to Telecom Italia as Executive Chairman. Over the period 2016-2018, his team has set up new goals for cost efficiency, an additional €1 billion to €1.6 billion in optimized cost savings and an additional BRL1.6 billion in Brazil. Despite a tough competitive environment, these objectives should confirm the good trend set by Telecom Italia in Italy and Brazil in the second quarter of 2016 and allow it to improve its 2016 full year outlook. To sum-up, we totally stand by our strategy for Vivendi. It has remained the same for the past two years; to build the global leader in content and media which showcases its European identity. Between the big American and Asian groups, there is room for a major Latin language player and we think that player is Vivendi. We're able to meet the needs of a new generation of consumers and promote Vivendi as a worldwide media leader. With content at the heart of Vivendi's strategy, here is the big picture, a two-fold approach, combining creation and distribution. These two blocks are the foundation of the Vivendi's strategy, being present all through the content value chain from discovering talent to production, and publishing to distribution of content. In addition, we're building partnerships with other actors, digital platforms and telco operators. They all contribute to the powerful media company we're now building and confirm our aspiration for Vivendi. Our strategy is clear and we're confident in Vivendi's ability to successfully take on this ambition. Focus is on creating value with a long-term approach. First half year is in line with the midterm outlook that we gave and that we therefore maintain. Thank you for your attention. And I will now hand over to Herve Philippe, CFO of Vivendi, who will comment on the financial results.
Herve Philippe: Thank you very much, Arnaud and good evening to all of you. It's a pleasure for me to present to you our results for the first half of the year, which are in line with our forecasts. As Arnaud has detailed, many initiatives have been implemented during the first six months and Vivendi's transition is well on track. Let me -- before going through the detailed appraisals [ph], I wanted to highlight a few items appearing on slide 18 with regards to the changes in the scope of consolidation and the main currencies of the group. In terms of scope of consolidation, the main item to point out is the consolidation of Telecom Italia. As we already mentioned during the last call, Telecom Italia is consolidated as an equity affiliate starting on December 15, 2015, with a lag of one quarter. Meaning that in Q2, we booked Telecom Italia's earnings for Q1 based on our pro rata economic interest of approximately 15% to 17%. Concerning Gameloft, because we appointed the new management team at the end of June, Gameloft has been consolidated since June 29. At this stage, the only impact is at the balance sheet level. With regard to the currencies evolution, it is worth mentioning that over the first half, we saw different trends between Q1 and Q2. In Q1, we benefited from a 5.8% positive impact from the euro/dollar exchange rate and were barely impacted, minus 0.9% by the euro/pound exchange rates. While for the full six first months of 2016, the positive impact of the euro/dollar exchange rate was reduced to only 1.1%, and the pound evolution translated into a 4.1% negative impact. Therefore, Q2 was negatively impacted by currency evolution. It is possible this trend could worsen in second part of 2016. This comment leads me to address a potential risk on impact of the Brexit for Vivendi. Also, it is quite complex to evaluate what the impact of the U.K. -- on the U.K. economy could be, on the global European economy in general. At this stage, we consider that it should have an impact limited to the currency effect of the potential weakness of the pound. Slide 19 is a usual summary of our key financial metrics. For the first six months of 2016, total revenue of €5.44 billion, almost stable compared to last year at constant currency perimeter. As we will see later, the increase in revenues at UMG partially compensated decline in revenue at Canal+. Under IFRS, both EBIT and net income from continuing operations grew. This is mainly due to some non-recurring and non-operating items, primarily as a capital gain on the sale of our remaining stake in Activision Blizzard for €576 million, as well as the €240 million reversal of the reserve resulting from the settlement of the Liberty Media litigation. Both were booked in Q1. In terms of operating performance through non-GAAP metrics, as we will see, the good performances at UMG could not make up for the soft evolution of Canal+ financial. This translated into a 7.6% erosion of income from operation and 20.4% decline in EBITDA at constant currency and constant perimeter. At €286 million, adjusted net income is down by 13%. It would have been flat excluding the tax impact of the reversal of Liberty Media provision as explained on Q1. Over the first six months, cash generation as you see was strong with a 23.5% increase of cash flow from operation. At the end of June, the net cash position stood at €2.1 billion compared to €6.4 billion at the end of 2015 and €4.8 billion at the end of March. As we will see, this decrease in net cash position is mostly attributable to the payment of the €1.3 billion interim dividend in February and the €1.2 billion dividend in April as well as the €1.6 billion in buybacks. So, now turning to the operating performance of the divisions, starting with UMG on slide 20. The transition in the music industry is progressing quickly, as Arnaud mentioned earlier. In the first six months, streaming and subscription revenues grew 62%, while download revenues were down 29%. Streaming and subscription is now the largest source of revenues and accounts for almost two-thirds of UMG's digital revenues and more than one-third of UMG recorded revenues. The fast takeoff of streaming and subscription translated into a 3% organic growth in recorded revenues and 5.2% in the Q2 alone and contributed to a 4% increase of publishing revenues. You should note that during the first half, in fact, in Q2, we had a negative ForEx impact after several quarters of positive impact. Income from operation on EBITDA were up organically by 24.6% and 23.5%, respectively. This sound evolution is attributable to increased revenue and well over operating expenses, [Indiscernible] to a lighter release schedule in first half of 2016. During the first six months, UMG incurred €34 million in restructuring charges as part of some reorganization. We do not exclude the possibility of incurring additional expenses during the rest of the year, although some agile organizations planned for this year have been executed. Moving to Canal on slide 21. Total revenues for the first six months of 2016 were down 3% organically. First, let me highlight the solid growth in the international pay-TV operation, mostly in Africa, where revenue grew 16%, thanks to the strong evolution of the individual subscriber base, which amounted to 2.2 million. The strong rise in the subscriber base in Africa, as well as in Vietnam at the end of June, can be attributed to our strategy of offering the best events. And in June, we had the Euro Championships. The first half was also very good for the free-to-air channels in France, with a 10% increase in revenues due to strong audiences. However, June has been challenging in terms of revenues because of the Euro Championship, which attracts large audiences. The decrease in total revenues is mostly due to a 5.2% decline in revenues from the pay-TV operations in France, with a continuous erosion of the committed subscriber base. Total committed subscriptions decreased by approximately 400,000 over the last 12 months. While we're working on new initiatives to address this issue, their implementation will start in the second half of the year, which is traditionally the busiest period in terms of recruitment. StudioCanal revenues were also down in H1, due to fewer theatrical and DVD releases. During the first half, income from operations was down by €71 million compared to last year. This evolution was rooted from; first, €89 million decline in revenues at pay-TV France. The first positive impact of the cost optimization plan outlined by Arnaud, will only start to be realized in H2. Regards the lower profitability of StudioCanal, due to the lack of major holidays over this period. Third, an increase of costs at free-to-air as part of our ambition to grow our audiences. For example, the broadcast of the Champions League final had a cost, but drove D8 audience to an historical record high 25.6% audience for 25 to 49 year old. Fourth, the increase of the profits in Africa could not completely offset all these impacts. This negative trend at the income from operation level translated in the steeper decline of EBITDA, as last year we benefited from €21 million in positive one-time items, while this year we booked €14 million in restructuring and reorganization costs, mostly related to the revamping of the French TV offer. On slide 22, as for the other business units, the most important thing to highlight is that we are working on many initiatives, such as opening a network of [Indiscernible] venues in Africa, coproducing live events and festivals. We are also working on refocusing Watchever operation on the development of pay-for-streaming services, such as Studio+ and positioning of Dailymotion. These investments still translate into losses at the income from operation level. Gameloft, which will be reported separately, is consolidated since the end of June. Slide 23, going to slide 23 and the adjusted net income. As we have just seen, the good performance of UMG was more than offset by the steep decline in Canal's income from operation, as well as losses at Vivendi Village at new initiatives. Overall, income from operation is down €60 million compared to the first six months of 2015. As in 2015, EBITDA included €55 million in positive one-time items, €22 million at UMG, €21 million at Canal, and €12 million at corporate. And 2016 includes €48 million in restructuring charges compared to only €29 million in 2015. EBITDA is down €129 million. This decrease is much lower at the adjusted net income level, with a €45 million increase in income from equity affiliates, resulting from the consolidation of Telecom Italia, mostly the first quarter of Telecom Italia. A €29 million decrease in income taxes, despite a €41 million tax expense in relation to the taxable €240 million reversal of the Liberty Media litigation reserve, and a €14 million reduction in non-controlling interest, mainly due to the acquisition of the minority interest in SECP in Q3 last year. On the next slide, 24, we have the consolidated P&L under pure IFRS rules. In 2016, as well as in 2015, EBIT was positively impacted by a significant other on income charges. In 2016, we recognized a €576 million capital gain related to Activision Blizzard on the €240 million net reversal of the reserve for the Liberty Media litigation. In 2015, we had €651 million related to the divestiture of a 20% interest in Numericable-SFR. Income tax are significantly down in 2016 compared to 2015. This is mainly due to the fact that in 2015 we recorded a €122 million tax charge related to the distribution of three dividends of €1 increments compared to €38 million in 2016, with only one-time €1 dividend in April. In fact, the interim dividend paid in February was decided last year in May, so the tax charge was booked in 2015. In the first half of 2015, we also recognized €124 million in taxes payable, related to the sale of the 20% interest in SFR-Numericable. As you can see underlying earnings from discontinued operations, in 2015, we had a positive contribution of €1.279 billion coming from GVT, which was sold in May of last year. This explains the decrease in earnings attributable to Vivendi shareholders. However, excluding discontinued operation, earnings from continuing operations attributable to Vivendi shareholders is up 28.3% at €913 million. Moving to the balance sheet, on slide 25. The major changes over the first six months were for the increase of goodwill, mostly as a result of the acquisition of Gameloft, provisional goodwill of almost €600 million. Second, the decrease in financial investments, mostly related to the sale of the remaining stake in Activision Blizzard, as well as the settlement of the Liberty Media litigation, in which €974 million were on deposit. The €6.2 billion of financial investment is mostly comprised of €3.8 billion for Telecom Italia; €0.4 billion for Telefonica; €0.8 billion for Ubisoft; €0.3 billion for Banijay Group, including the bonds; and €0.1 billion for Fnac. The decrease in the net cash position related to the payment of €1 interim dividend in February and €1 dividend at the end of April, as well as the €1.6 billion buyback at the end of June 2016. So, €2.1 billion net cash position is comprised of €6.3 billion in cash, €0.2 billion in financial instruments, less €4 billion of gross debt. In May, we issued bonds totaling €1.5 billion in two tranches, five and 10 years, under very good conditions. This issuance will refinance a payment of two existing bonds maturing in December 2016 for €500 million and March 2017 for €750 million. With respect to equity and liabilities, we can highlight three main items. The decrease in equity is linked to the dividends of buyback of shares; second, the payment of the interim dividend, which was accrued as a liability in working capital in December 2015; and, third, the impact of the settlement of the Liberty Media litigation on provision. Slide 26, very shortly, over the first six months of 2016 we had a very good generation of cash, with €290 million, a growth of 23.5%, which is mainly due to the solid cash generation at UMG. On slide 27, with regard to the changes in the net cash, you see that the net cash stood at €2.1 billion at the end of June compared to €6.4 billion at the end of 2015. As we have said, the main movements were the payment of the dividend for €2.6 billion; the acquisition of Vivendi shares since the beginning of the year for €1.6 billion. Cash outflows for investments was increased of the stake in Telecom Italia, Gameloft, and Ubisoft, as well as the acquisition of a 26% stake in Banijay Group, and the subscription to the capital increase of the Fnac in June. These investments were fully financed by the sale of the remaining stake in Activision Blizzard, as well as the settlement of the Liberty Media litigation. Since the end of June, there is nothing special to point out on the cash front. Thank you very much. And now we leave you time for Q&A session. Thank you.
Operator: Thank you, sir. [Operator Instructions] We will now take our first question from Charles Bedouelle of Exane. Please go ahead. Your line is open.
Charles Bedouelle: Bonsoir, good evening everyone. Three questions, if I may. The first one is just to try to understand beyond the recorded music, what happened in Q2 in terms of the publishing and the merchandising, and if this is a one-off or a trend we should expect maybe for the rest of the year? The second question would be on the Italian pay-TV situation. I mean if the deal is not going to happen as you guys wished, what's the next step? And how can you maybe fulfill the goal you had originally? And the third question would be -- and it's maybe a slightly tough one, but I cannot -- I know it's very hard to give any firm target, but when do you expect your current initiative to have an impact on the French trends? Maybe not in terms of growth, but at least in terms of second derivative? Thank you very much.
Arnaud de Puyfontaine: Bonsoir Charles. Arnaud Puyfontaine. So, on the Italian situation, our ambition to be able to build our Latin strategy, where Italy is a key country remains the same. As regard to what will be the next step, you will understand that I'm not going to comment -- the policy of the Group is not to comment on any litigation process in which we're currently are. As regard to your question on Canal+, as you may recall, I said in November last year that we were entering in a two years transformation and transition period on Canal+. I'm happy about the momentum. You're right in saying that it's at that stage difficult to give any forecast, but I'm happy about the progress that has been made. And we're still with the objective to reach what we said a few months ago, and with the goal to come back to our positioning -- initial positioning by 2018.
Herve Philippe: For music, we have no specific one-time item in the revenues for music, neither in Q1 or Q2. For the publishing, we have seen a good performance in H1. Part of that is linked to the development of streaming and subscription, clearly. And for the merchandising, which is very small figures, I think more touring activities in 2016 than 2015.
Charles Bedouelle: Okay. That's very clear. And maybe just a very quick follow-up on use of cash. Can you tell us now where you think the balance -- the right balance is between maybe the buybacks and maybe some further investments, any development on that? Thank you very much.
Herve Philippe: Well, in the use of cash, as you have seen, we have bought back up to €1.6 billion of shares at Vivendi. Clearly, we have a completely opportunistic view on that. If we think that in depressed market -- if consider that low, we can continue to buyback stocks [Indiscernible] to go up to 10% of the capital, so we assumed it has been renewed last general shareholders' meeting. This being said, clearly, we still offer opportunities of growth. We look to several files, but always with a strict financial discipline in order to invest the money in an efficient way I would say.
Charles Bedouelle: Okay. Thanks all.
Operator: We will take our next question from Lisa Yang of Goldman Sachs. Please go ahead.
Lisa Yang: Hi, good evening. My first question is on Canal+. Would it be possible to have any guidance on where you expect the profit or EBITDA or IFRS to be for this year? I mean when I look at consensus, we have a really wide range of €300 million to €500 million. So, any color on that would be helpful. On that same topic, is there any kind of restructuring charges associated with the cost-cutting program that you just announced? And then my other question is still on Canal+. I think there has been some reports that the subscriber trends in June have improved and were positive. So, could you maybe give us some color behind that improvement, what you're seeing in Q3? And my last question is on Universal. We've seen pretty a good improvement in margins of 200 basis points at level, should we -- is there any one-offs behind that? Should we expect similar type of margin improvements for the second half? Thanks.
Herve Philippe: To answer your question on Canal+ and the guidance, what we can say is clearly we renewed our figures we have given at the beginning of this year of losses at the level of Canal+ channels in France of roughly €400 million for the full year. We have already €100 million for the first half, but the second half will be impacted by additional costs, especially in sports rights. Actually, those costs increased as the new season started and also cost in different other aspects in programming or in subscription, where also is the impact of the erosion of the subscriber base, which has an impact in the earnings indeed. So, we are still in line with the forecast we've given in February of €400 million losses at Canal+ channels in France. But, as you have seen, we have launched a cost-cutting program which will be fully in place in 2018 for €300 million, which have been already identified. And on those €300 million, we expect between €60 million to €80 million to be realized in H2 this year. For your question regarding UMG margin, while it's difficult to say what will be the margins, we also deepened off as a cost for the new releases, because, in fact, we have to highlight maybe that in the first part of 2016, there was quite a limited number of new releases for Universal Music. So, the consequence is also that there is less expenses related to the new releases. Probably there will be more costs linked to new releases in the second part of this year.
Lisa Yang: And the subscriber trend at Canal?
Herve Philippe: We will see at the end of the year because, as you know, the recruitment is mainly -- is more important second part of this year than in the beginning. But maybe, Arnaud, you want to add something -- different forecast [ph] maybe?
Arnaud de Puyfontaine: Yes. I think that's the reason why we're not getting going to provide any forecast is because, as we shared with you, we're on the verge of getting into the new Canal offer in terms of programming on 5th of September. So, as I said, Canal+ pay-TV and the premium channel is going to be much more paid for content. We are currently working in implementation of development in terms of pricing and distribution. I mean really being able to redeploy the Canal offer in a way that is going to provide our customers with more visible, worth it, and compelling offer. And it's very important for us to be able to see what's going to be the first reaction as regard to the reshuffle of -- call it a complete redefinition of the way we're going to approach the relationship with our customers. And it's after the first weeks of implementation and the momentum we'll see that we'll be then be able to provide more guidance in terms of forecast.
Lisa Yang: Great. Thank you.
Operator: Our next question comes from Giasone Salati of Macquarie. Please go ahead. Your line is open.
Giasone Salati: Hi, good evening. I think I've got three questions. First, can you be more precise on the savings at Canal+? Will it be €60 million to €80 million run rate, or will they book in -- will all be realized in the second half of 2016? Secondly, could you expand on the restructuring at UMG and on the potential to see more restructuring charges on music in the second half? And lastly, on the non-exclusive agreement with beIN Sports, is it right to assume that because the remedies still on Canal+ will expire next year, from next year, the agreement could go exclusive without any need to seek antitrust approval?
Arnaud de Puyfontaine: Well, on your last question, you're absolutely right that it's been made official that -- by the competition of authority, that they were opening a process as regard to the constraints that are meant to be reviewed in spring 2017. And there are many regulations and constraints over Canal+ in many different fields. And what's going to be the outcome of the process that has started? We'll know better by spring 2017. But obviously, those constraints that have been decided and imposed on Canal+ in 2012, clearly between 2012 and today, the world, our competitive environment, consumer behavior, technology has changed and we expect a new environment to be more favorable. And also to take into account the point that when you are in our business, the way you address the needs of your customer is a very different way from what it used to be. And we should benefit from the possibility to redefine a new way to engage in our business. How is it going to impact possibility of exclusivity and non-exclusivity as regard to, for instance, distribution of beIN Sport? Well, you know that we pushed hard to explain the reason why we thought that we could get into that agreement this year. We'll reopen the question and the jury is out for the time being. So, watch this space, I would say. And on the question number two, the restructuring is really based on a structure of a market which used to be a structure based on U.S. and rest of the world. I think that when you see the trend of the music industry, this is a trend where more and more there is an alignment between what's happening in the U.S. and what's happening in other territories. As I said, the concentration on our business is concentrated on five different countries. And, again, we wanted in terms of organization and restructuring to be able to take into accounts these very specific factors. So we just -- to answer more precisely your question, we just do expect after the first job that has been done, the restructuring expenses to be much smaller in the remainder of the year. And as regard to your question on Canal+ -- maybe--
Herve Philippe: Yes, for the first question on Canal+, as can understand, €60 million to €80 million of savings are -- will be realized in the second part of 2016. There is nothing in the first part of 2016 and we expect €60 million to €80 million for the second part of this year as part of the plan of €300 million of reduction of costs which will be fully realized in 2018.
Giasone Salati: Okay. And sorry, just to be absolutely clear on this, that means that the original guidance of €400 million loss will now be €400 million minus €60 million to €80 million for the full year?
Herve Philippe: In fact, those reduction will be generally for the pay-TV in France. So, if you consider globally, it will have the positive impact of those reduction cost on the pay-TV in France.
Giasone Salati: Okay. Thank you.
Operator: The next question comes from Laurie Davison of Deutsche Bank. Please go ahead.
Laurie Davison: Hi, there. It's Laurie here from Deutsche. The first question is just over the cost-saving plan at Canal+, €300 million of cost savings versus a €400 million loss this year. Does that imply that profitability relies on a €100 million increase in topline? And when should we be expecting that topline improvement to come through, and from where? The second question is just over the actual cost-cutting plan itself. Can you give us just a bit more detail on those initiatives that you flagged, and specifically, on the third category you highlighted around the production? Exactly what -- how are you going to achieve the savings you mentioned for that third part? And then, just lastly, if we're thinking about the phasing of 2018, should we be expecting that profitability be reached at the end of the year by 2018, or is this a full year profit that you would be expecting to see at Canal+ France channels? Thank you.
Herve Philippe: To answer the question in terms of cost saving plan, I would say the €300 million will have to be realized in 2018, so we do think that 2018 we'll have found that. We cannot give too much details on the savings themselves, but we have identified €300 million of savings at Canal+. The main idea, I would say, is to have the same programs or the same type or kind of programs for less, which is mainly the main reason for that. And we have different teams working on that to implement that in the coming months and years and we expect to have the €300 million in 2018. This being said, we still have work to do to fully recover the profitability at Canal+ channels and we have to work on the topline and to recover some growth at the topline. And different initiatives are to be taken the coming weeks or months, especially, on the offers of Canal+ and we'll be more precise during those information sessions.
Operator: Thank you. We will now move to our next question from Tom Singlehurst of Citi. Please go ahead.
Tom Singlehurst: Good evening. Yes, it's Tom here from Citigroup. I had a question about cash levels and cash usage. By -- I suppose, this time next year, you're going to be pretty much out of cash, based on the current run rate, certainly the dividend commitment and if you continue to buy back. So I had a question on, firstly, of the stakes that you've got, what the cash return profile from them should be. Is there anything we're missing in terms of cash coming out of, for example, Banijay or Fnac, so that we can just include that within the CFFO forecast? And then, secondly, linked to that, is there anything that we should consider as being held for sale? Is there anything obvious that you're considering selling just to top-up the cash balance? Thank you very much.
Herve Philippe: Well, today we still have cash and probably one day, we'll have a net debt position, which is not necessarily a bad thing to have, and to be in a position to have some debt at the balance sheet would not be a problem. As you have seen, we've issued bonds in very good condition in May with €1.5 billion. On those €1.5 billion, we have issued €1 billion at a five-year term for less than 1%, and €500 million at 10 years for less than 2%. So, the rate is not expensive, so we can imagine to leave with some debt at the balance sheet if this is needed, considering opportunities of buybacks or opportunities of external growth in the coming quarters.
Tom Singlehurst: And the cash return on some of the stakes, is there anything we are missing? TI I assume is limited--
Herve Philippe: No, we don't expect significant cash coming from the investments we've done. We have dividends coming from some of our stakes, like in Telefonica, which should bring some dividends this year. But we don't expect a significant, I would say, dividends coming from them in the coming quarters. One thing which is important regarding participation is the impact of Telecom Italia on our accounts, because as you have seen, we consolidated Telecom Italia as an equity affiliate since the beginning of the year. On the fact that Telecom Italia issues generally its press release regarding results after us, we have been connected to consolidate them with a lag of one quarter. This means that we will have in the second part of 2016 the consolidation of the second quarter and the third quarter of Telecom Italia. And we can imagine or calculate an impact -- a positive impact, I would say, on our accounts of the consolidation of Telecom Italia in the range of €150 million to €200 million for all 2016 year if we look to their own guidance and forecast for this year.
Tom Singlehurst: Perfect. Finally, any asset sales? Anything that's potentially on the books?
Herve Philippe: We have nothing for sale.
Tom Singlehurst: Okay. Thank you.
Operator: Our next question comes from Julien Roch of Barclays. Please go ahead.
Julien Roch: Yes, good evening, Arnaud, Herve, and Laurent. First question is on Canal+, the €300 million reduction in cost. How much cost is linked to the free-to-air part of the schedule, because you're going from six hours to two hours, so there will be a reduction in cost there? That's my first question. The second one, still on Canal+, you talked about cost-cutting, but will you reinvest? So, for instance, will you have a new box, extra marketing linked to the offer? So some reinvestment color would be great. And then finally, Herve, if you could give us some color on what you've done with the cash since the end of the first half. So, you bought some more Ubisoft. How much did that cost? You had the Gameloft squeeze-out. How much did that cost? How much have you spent on the buyback so far? And anything else meaningful you've spent money on, so we can have an idea what the net debt could end up at the end of the year would be fantastic. Thank you very much.
Herve Philippe: So, to answer the first question on Canal+ on the cost reduction plans, there's nothing adding that which is linked to the free-to-air window I would say and we'll have the reduction of this window in the coming months. But the idea is to have what was interesting in the free-to-air window on Canal+ to be seen on the other channels of the Group, especially on D8, which will become next week C8, as you have seen. So, it will be the free-to-air channel of Canal+ will be Canal with C8.
Julien Roch: So, in your €150 million reduction in programming cost, there's nothing linked to the free-to-air? It's all coming from pay?
Herve Philippe: It could be some of the programs of free-to-air if we have considered that we can make some savings in the production of some programs, both on the free-to-air part of Canal+ or on the paid part of Canal+.
Arnaud de Puyfontaine: But if I may add something. All the process that we have implemented in those €300 million, as I said, it's to do more with less. And when we got into the business now a bit more than one year ago and where we decided in November to go for a complete reshuffle of the Canal operations, I mean we have done -- new team, new management teams. We have done a redefinition of our strategy in terms of distribution and obviously, when you pay for an offer, you want the offer to be compelling and to be worth it. And when you see what we have done in all the context of the reshuffle of the complete -- of the Canal+ Group, we have not -- because that's been one of the scene or the traps of what happened in the past. We didn't want to cut into the quality of the product that we're proposing to our customers. And because, obviously, some of the programs were well-known and with a good level of awareness, we had quality people on the free-to-air parts of the Canal+ program grid. Some of our talent moved from this Canal+ Group, this Canal+ off-pay-TV offer to the free-to-air. So, we managed that. But when you see the numbers, Julien, the numbers is not to decrease the value of the offer, but really to get an angle and to do things in a way which is going to increase the efficiencies. And I'm sure that it's a really transformation plan with much greater efficiency, but it's not cost-cutting, per se, in decreasing the value-added of what we are proposing to our customers.
Julien Roch: Okay.
Herve Philippe: To answer your question on the CapEx, at Canal+ there is nothing today which is identified for the very short terms in terms of important CapEx in September, for example. We're still looking at that and looking to opportunities to develop and to improve the experience for the customer, but there's nothing significant, at least for the end of this year, in terms of CapEx at Canal+. To answer your question on the cash, if I have well understood, in fact, you have the detail of the main expenses for the first half of the year, which are in slide 27, with the different investment which have been done in the first part of 2016. There is nothing really significant which was decided in the first half and paid only in the second half of 2016, except maybe the squeeze-out on Gameloft, which has been launched in July. But this is not really a completely significant. Cash attrition is more or less the same as it was at the end of June 2016.
Julien Roch: Okay. Thank you very much.
Operator: Our next question comes from Marcus Diebel of JP Morgan. Please go ahead.
Marcus Diebel: Yes, hi there, its Marcus Diebel here. Coming back to Laurie's question, I mean if we assume around €100 million by 2018 is coming from an improved topline, how do you think about the mix here when it comes to ARPU and the number of subscribers here? I mean, ARPU was actually slightly up now in the second quarter. But what will be the revenue look like by 2018 to get an additional €100 million to the bottom-line? Thank you.
Herve Philippe: In fact it's difficult to say. Today we have announced a cost reduction program of €300 million. We have other initiatives to be taken shortly in terms of programs in terms of offers. And these will, as we hope, a positive impact on the subscriber base on the revenues. But this is too early to be precise on the new offer to be able to quantify the positive impact. We have worked internally on that and we will have some announcements to be done in the coming weeks.
Marcus Diebel: Okay. Perfect. But there's no reason to assume that there will be any major difference in ARPU in 2018 compared to today, is that fair or not?
Arnaud de Puyfontaine: I think that it's a fair assessment for the second half of the year. But as regard to the strategy that we want to implement on which we are going to bring more detail during the back-to-school period, that is to say quite soon. We'll then potentially have an evolution of the mix of the ARPU. So, there could be some potential moves within the ARPU structure based on the different evolution of our subscriber portfolio. So, more to come next time we speak. But as regard to the short-term for the second half, your assessment is a fair one.
Marcus Diebel: Okay. Thanks.
Operator: And our next question comes from Jerry Dellis of Jefferies. Please go ahead. Jerry Dellis of Jefferies. Please go ahead.
Jerry Dellis: Yes, good evening. Thank you very much for taking my questions. I had two questions, please. Firstly in Italy, when you signed the original agreement with Mediaset, was there a non-compete clause associated with that? So is there any sort of potential controversy surrounding new developments that you bring forward in the Italian market where you might operate without the cooperation of Mediaset? And then my second question is on Canal+ in France. Would you anticipate that your wholesale offer with Orange would involve discounting or is that ruled out? And then, more generally, do you -- have you been able to quantify the overlap between the Canal+ subscription base and, for example, the base of SFR customers who might -- to the extent that they are sport fans, they will be more inclined to opt solely for SFR Sport going forwards? Your general thoughts surrounding that sort of overlap issue would be very interesting please. Thank you.
Arnaud de Puyfontaine: On your question in Italy, as I said, I'm not going to make any comments in current circumstances. As you can imagine, the agreement is confidential. But as I said in my presentation, we are still very committed to be able to build our development strategy in Italy. And as regard to what will happen, we will just make sure that in terms of the right decision we take in terms of the relationship with potential partner, it's very important that both parties agrees on what has been agreed, if you see what I mean. And that in terms of the Vivendi position, Vivendi is a company which says what it's going to do and does what it said it would do and the kind of a reputation as regard to the respect of commitment is something that is not questionable. On the specificities of your question, again, it's a confidential agreement. I hope that next time we'll be able to be much clearer about what we will do. Maybe on Canal, Herve?
Herve Philippe: Canal on the agreement with Orange, it's an agreement which is dedicated on the fiber offer for Orange. So, we have reasonable hopes with that I would say. And we'll see what will be the development of this offer by Orange, which we're very interested in such agreements with them to offer through fiber the access to Canal programs or Canalsat programs in fact. Thank you.
Jerry Dellis: Thank you. Could I just ask about the issue of overlap, perhaps with the SFR telecom base as you think about where your customer loss within Canal+ France subscription is coming from? Is there any reason to think that more of that attrition is coming increasingly from the SFR base and that that is somehow linked to the arrival of SFR Sport?
Arnaud de Puyfontaine: Well, we have no specific information on that and no specific trend has been viewed on that subject. We haven’t seen specific impact of SFR Sports on the share of our subscribers.
Jerry Dellis: Thank you.
Arnaud de Puyfontaine: When you love sport and that you want to get access to the best offer in terms of sports available in France, you become a subscriber of Canal+.
Jerry Dellis: Fair enough. Thank you.
Operator: Our next question comes from Conor O'Shea of Kepler Cheuvreux. Please go ahead.
Conor O'Shea: I guess -- good evening. A couple of follow-up questions as well. Firstly on Canal+ and the full year profitability, if the EBITDA was down €100 million year-on-year in the first half of the year, including restructuring charges, do you think at this stage that the €60 million to €80 million cost savings will be enough to prevent another -- a further year-on-year decline in the second half of the year, if we just take that in isolation? Second question on Canal+ overseas, I think you referred to the very strong growth in the second quarter in Africa and Vietnam has been partly influenced by the broadcast of the Euro 2016. Does that mean that subscriber numbers have fallen back seasonally since the end of that competition? And then the third question, just for Herve, if you could give us -- I didn't see it in the press release, the number of outstanding shares to-date, post the buybacks please. Thank you.
Herve Philippe: To answer your question on Canal+ full year profitability, you have to keep in mind that the second part of the year on the Canal+ channels in France will be with worse figures than in the first half of this year, clearly, because we're already on the trend to have €400 million of losses at that level -- specific level in Canal+. That means that probably if we have €100 million losses in the first part of the year for those channels, that the losses for the second part would be -- would have been, I would say, €300 million, on which we have to deduct what will be saved on the cost-cutting program, which is a part of the €60 million to €80 million already identified. For the question on the outstanding shares after the consolidation of shares we have done earlier, on some capital increase for the employees at the end of July, we have exactly 1,286.6 million shares.
Conor O'Shea: Okay. And to just follow-up on what you said about Canal+ France, I mean the €400 million losses compares with €264 million, I think in 2015, so an increase of €136 million. So, if we're looking -- thinking about modeling the year-on-year decrease in overall profitability, that is the kind of number we should be thinking about, offset by some cost savings and maybe some revenue declines. Is that fair enough or--?
Herve Philippe: Yes, that's correct.
Conor O'Shea: Okay. Thank you. And just on Canal+ overseas, Africa and Vietnam, in the subscriber numbers?
Herve Philippe: Well, we have an increased subscriber base both in Africa and in Vietnam. As you -- on just a part of those newcomers when you are in a very important period, especially for sports, which was the case in June, can decide not to renew their subscription, because it's generally on a monthly basis when they subscribe. So, the figure can go from one month to the other up and down, but the trend is very clear from the beginning of this year and for the last year, I would say to have an increase of the subscriber base overseas.
Conor O'Shea: Okay, great. Okay. Thank you.
Operator: Our next question comes from Stephane Beyazian of Raymond James. Please go ahead.
Stephane Beyazian: Yes, thank you. One question regarding StudioCanal if I may. Probably you'd explain a bit of the swing in earnings in the second quarter and StudioCanal has been a little weak in the first half compared to 2015, as you mentioned, but also compared to 2014. So, can you comment on the pipeline of StudioCanal? Is it just a missed year? Have been you delayed by projects with other divisions, for instance? I have also a question regarding YouTube. There has a been a lot of debate around the contribution from YouTube and quite many artists signed the letter to the European Commission to ask more from YouTube. So my question is, can we reasonably expect better terms in the near future? And what are your plans around a label there? I also have a question regarding the contribution of Watchever and Dailymotion. I don't see mention of these two companies in your new projects, so what's the future for these assets? And if I can try my luck with a very last question regarding Orange, you've signed distribution agreement with the company and so far you've been clear that -- I mean you like, are you interested to an equity in your large partners, so could you be interested doing some Orange equity? Thank you.
Arnaud de Puyfontaine: Thank you for your questions. So, I'm going to start by your luck. So as regard to Orange, it's not the intention for us to take a stake in Orange. And as you may have seen yesterday, there has been a rumors in terms of -- spied by the French press, as regard to that we could have a secret agreement and this is, as mentioned by Orange yesterday evening, this is not the case. We have really a good relationship with Orange. We like the relationship. They are a great distributor. Over and above the situation in France, we also have a good relationship in terms of some development in Africa. So, as I said previously, for us the collaboration with telco operators is -- doesn't mean that we are going to stake in every of those partners. And the situation in Italy is different from what it is in Spain, which is different from what it is in France. So, that's about Orange. As regard to YouTube, I think that we've got negotiation with different -- every type of platforms. I think that there is a theme as regard to YouTube and the mix between user-generated content and free content, which is monetized by advertising not to get the kind of level of value creation that should be expected by the incumbent of the supply chain. So, there has been some comments in the press as regard to the negotiation, which obviously I'm not going to comment on. But I think that -- as a matter of fact, if you pay peanuts, you get monkeys. And I guess that, because we're providing with second-to-none and best-of-breed content and we do that with really the fantastic relationship we have with our artists. I think that it is fair in the different negotiation we're currently having to be able to get greater value, to be able to get all the people involved in the supply chain to be happy about the rule of the game. So, more to come, but I can't give you any more details about where we stand there. As regard to StudioCanal, well, as you mentioned, Stephane, the 2016 is a transition year. We have taken some decision in terms of organization last year, getting closer the operations -- the movie operations in Canal+ on the movie side and also of StudioCanal under the same leadership, with Didier Lupfer running the two aspect of the company. We knew from last September -- September last year, that the line-up would not be what it has been for StudioCanal and this is exactly what's happening. I'm happy to say that we are expecting, nevertheless in September, good results of Bridget Jones number 3, but it is a transition period. We have some line-up which are very compelling and which should make a difference next year in 2017. It's also fair to say that we have also a good momentum for next year as regard to some TV series that have been produced by our different companies at European level. And we have had a good track record. So, to cut a long story short, StudioCanal, your point, is absolutely a fair one and 2016 transition period, expect more compelling results in 2017. And last but not least, as regard to what Watchever and Dailymotion, well, it's clearly work in progress in terms of the momentum between content and distribution. We have done a lot of work on Dailymotion. We have made a lot of changes. We're still in a position to be able to accelerate as regard to the growth of the company, but the company needed some fix -- I would say, in terms of structure of the audience, in terms of its back-office organization, to be able to provide to our customers. I'm talking our advertisers, a really good level of service, which was not the case. So, we have in those different initiatives a lot of work that is currently done in backstage, I would say. But expect next year to be another step for those operations in mainly Dailymotion and Watchever. While we have decided to stop and to close the operations of DoD in Germany, but we keep the very good asset value of the company, which was mainly in the technology platform. So, there is kind of a combined and aligned approach as regard to this technology in terms of distribution, which is going to benefit our strategy in terms of building good momentum around Dailymotion. So, I think that I covered all your different questions?
Stephane Beyazian: Yes. That's very clear. Thank you very much.
Operator: And now we will take our final question from Nicolas Cote-Colisson of HSBC. Please go ahead.
Nicolas Cote-Colisson: Good evening. Thank you. It's going to be a very quick follow-up regarding the new offers with Orange. Is it about offering the full Canal+ -- or Canalsat package, sorry? Would you repackage some channels? And also, could you replicate that kind of offers with other players? Are there any discussions with them? Thank you.
Arnaud de Puyfontaine: You will, Nicholas, understand that we're going to give the customers the exclusivity of what we will put in place. And we will get us an aligned communication as regard to what is going to be this offer with Orange. And as regard to can it be extended? Well, it's not one size fits all as you can imagine. But we do expect -- as I mentioned in my opening statements, that we keep the possibility to get other partnership that may arise in the foreseeable future. So, never say never and we'll keep a very open mind as regard to the role that we can play in this momentum that we can see in terms of providing with a key partner the right offer to get the kind of seamless offer to the customers. So, we have an open mind.
Nicolas Cote-Colisson: Okay. Thank you.
Operator: Thank you. As there are no further questions in the queue, I would like to turn the call back to Mr. Laurent Mairot for any additional or closing remarks.
Arnaud de Puyfontaine: Well, I'm very grateful because Laurent Mairot handed over to me just to; A, thank you very much for your attentions, your questions. And don't miss the very good quality programming on Canal+ from the 5th of September. So, subscribe to it. And we expect also very great release on Universal Music Groups. So, we will come on that next time. Thank you. Have a good evening.
Herve Philippe: Thank you very much.
Arnaud de Puyfontaine: Bye, bye. Talk to you next time. Bye, bye.
Operator: Thank you. That will conclude today's conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.